Walter Ruddy: [Call Starts Abruptly] Matt Ehrlichman, Porch Group’s CEO, Chairman and Founder; Marty Heimbigner, Porch Group’s CFO; Matthew Neagle, Porch Group’s COO; and Adam Kornick, President of Porch Group’s InsurTech Division. Before we go further, I'd like to read the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Today's discussion may contain forward-looking statements, including, but not limited to, statements regarding Porch's expectations or predictions of future financial or business performance or conditions, business strategy and plans, and anticipated impacts from pending or completed acquisitions. Forward-looking statements are inherently subject to risks, uncertainties and assumptions, and they are not guarantees of future performance. You should not put undue reliance on these statements. You should understand that such forward-looking statements involve risks and uncertainties, including the items discussed under the Risk Factors in Porch's recent public filings with the SEC. Such factors may be updated from time to time in Porch’s subsequent filings with the SEC, which are available on the SEC website, and may cause actual results or performance to differ materially from those indicated by such statements. Porch is under no obligation and expressly disclaims any obligation to update, alter or otherwise revise any forward-looking statement, whether as a result of changed circumstances, new information, future events or otherwise, except as required by law. In today's remarks, we will also refer to certain non-GAAP financial measures. Definitions of these non-GAAP financial measures are available in the legal disclaimers found on Slide 3 of the presentation. Also for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures, please refer to the tables beginning on Slide 25 of the presentation. We also refer you to such legal disclaimers for such additional information. I would like to remind everyone that this webcast will be available for replay shortly after the conclusion of this presentation on the company's website at porchgroup.com. For those of you that would like to submit a question during today’s presentation, please log into the webinar and submit it through the chat function on the Zoom platform. Management will do its best to take all questions within the allotted time. Porch Group has also made available a slide presentation that will follow along with the presenters' commentary. The presentation can be found on the company website. And with that, let me turn it over to Matt Ehrlichman, CEO, Chairman and Founder of Porch Group. Matt?
Matthew Ehrlichman: Thank you, Walter. Good afternoon everybody. It's great to be here with you. Thank you for joining us for our second quarter 2021earnings conference call.  Certainly, I'm excited to cover off our strong second quarter performance and execution across our business, which is driving growth in delivering value for our shareholders. Porch is performing against our ambitious plan including expansion of our SaaS fleet into adjacent home service verticals. And I'll get into these highlights shortly.  To begin, our second quarter performance was excellent with $51.3 million in Q2 revenue, which is up 235% year-over-year versus Q2 2020 adjusted for past divestitures.  As compared to the previous quarter, Q1 2021 revenue almost doubled. We left Q1 at around $100 million annual revenue run rate. And now, we exit Q2 to well north of a $200 million annual revenue run rate. Mario, will share more about these results shortly, but we are exceeding expectations and are again raising revenue guidance for the year.  As you'll see in our KPIs, the catalyst for our outperformance are driven by our ability to sell our software to more companies. Selling more software modules into these companies, increasing our B2B software revenue; helping more of the consumers to get access to with important services for their home; and the execution of our acquisition strategy.  Insurance in particular is growing rapidly with us now guiding to $300 million of gross written premium for the 2021 year, up from the $275 million that we guided to last quarter.  To-date, we are not seeing softening in our business from any macro changes whether from the housing market slowing or COVID-19 variants, which gives us confidence in the performance and growth, we expect for the balance of 2021 and for the 2022 year.  After completing the previously announced Homeowners of America for HOA acquisition at the start of Q2, we're also very excited to profile today our acquisition of Rynoh, a SaaS company that provides software for title companies. This is an acquisition that expands our footprint into an important industry. We'll talk more about that here later on.  So before I hand it over to Marty to go through our financial performance in more detail, let me first revisit our previously articulated company strategy and 2021 priorities.  So looking here at Slide 5, we've been executing on our unique strategy in the home services industry. It allows us to provide software and services to home inspection, moving, roofing and help title companies to help them grow. By doing so, we generate B2B software revenues, as well as gain early access to homebuyers, who we help save time, stress and money during move.  From this, we generate consistent and recurring B2B2C transactional revenues by helping customers facilitate the purchase of important services like insurance.  Certainly by now, many of you are familiar with our strategy, which has positioned to us as a leading vertical software company in the massive industries we're going after.  So starting from the top of Slide 6, our priorities at Porch are to, one, sell software and additional modules to more companies or become deeply embedded; two, have more of these companies provide access to their consumers, which then leads to three, providing more of these services providing more services of all kinds to these consumers in particular, move-related services.  As we help with more services, the consumer is happier with our experience, helping companies like home inspectors look good.  Four, we focus on insurance as a managing general agent, full stack carrier and agency, where we can leverage our unique customer acquisition and property data advantages.  Five, we're bringing in brands and advertisers to connect with homebuyers buyers earlier; and lastly, we use strategic M&A to continue to expand our platform.  Rynoh is the latest example where threat software for title companies, they help manage more than 30% of all U.S. home purchases and more than 30% of all U.S. home refinance transactions in Q1 of this year. So our business is performing well against each of these areas. Results are looking very strong.  And with that, I'll turn it over to Marty Heimbigner, our CFO to discuss Q2 and our updated guidance for the remainder of 2021. Marty?
Marty Heimbigner: Thanks, Matt. Turning now to Slide 8, our financial results for the quarter ended June 30, 2021. Our total revenue was $51.3 million, compared with $17.1 million in Q2 2020, an increase of 200% year-over-year. Adjusting Q2 2020 revenues for past divestitures, total revenue increased from $15.4 million to $51.3 million, which is a 235% year-over-year growth.  Rynoh is expected to add $4 million in revenue to our full year 2021 and added $1.3 million in Q2 as was acquired earlier in the quarter.  Q2 is Rynoh’s largest revenue quarter seasonally. We only break out acquisitions as we announce them and do not separate them out ongoing mainly because our platform has consistently shown to create significant incremental organic growth.  Looking at Slide 9 , In Q2, we outperformed our revenue guidance in the range above $45 million by $6.3 million. Margins performed in line with our internal expectations at the revenue less cost to revenue margin, contribution margin and adjusted EBITDA loss margin levels at 62%, 33%, and negative 20% respectively.  For our Insurance business, Q2 is the period in which significant weather events have a higher probability of occurring. As such, we take a conservative approach in our planning for this quarter and as it turned out, there were a series of major storms in Texas between February and April that led to higher volumes of catastrophe-related loss for the insurance industry as a whole, as compared to the four years prior.  However, given our reinsurance system, the impact to our financial results is muted. In Q2, we incurred $7.2 million in cost of revenue related to catastrophe-related loss, which is approximately $4 million higher than if weather had been in line with historical averages. Thus in a normal weather quarter, each of these three margins would have been 700 hundred basis points higher.  Given we plan for some variability in catastrophe-related loss in Q2, our full year 2020 earned margins remain in line with previous guidance as you'll see on the next slide.  As a reminder, there is some seasonality in revenue for our business as well. Q2 and Q3 are typically higher in revenue, because companies service more homebuyers in those two quarters, which increases our transaction revenue per company. While we don't set quarterly guidance, we are noting that Q3 revenue is trending nicely above Q2 and Q4 is expected to be seasonally lower than Q3.  As you see here on Slide 10, given the momentum of our business and the Rynoh acquisition, we are raising our previously stated revenue guidance from $178 million to $184 million for the full year. This would be a 155% year-over-year growth. This is our fourth consecutive raise of guidance in our eight months as a public company from $120 million at our IPO to now $184 million .  We are pleased with the continued momentum we are seeing. We are reiterating our full year 2021 margin guidance of revenue less cost of revenue at approximately 72%, contribution margin at approximately 40% and are tightening our full year adjusted EBITDA loss guidance to a range of negative 13% to negative 16%. We have chosen to invest further in key growth opportunities such as insurance expansion, our data platform and sales and marketing and R&D within the inspection industry.  As a note, adjusted EBITDA margin is expected to be almost 2 x improvement versus 2020 even as we invest aggressively for long-term growth. Of our updated guidance of $184 million in 2021 revenue, $54 million was layered in from HOA, V12 and Rynoh acquisitions.  Overall, year-over-year growth is expected to be 155%. On the right side of Slide 11, you can see our anticipated 2021 revenue distribution has not changed, 90% of our business is from SaaS platforms and a corresponding move-related services. Only 10% of revenues are expected to be from post-move services.  The distribution in Q2 2021 revenue was very summer to this. We had 23% of revenue coming from B2B software and service subscriptions, 66% coming from move-related services, which also includes insurance and 11% of revenue coming from post-move services.  As you can see here on Slide 12 , we continue to track to meet our 2021 margin targets and anticipate approximately 40% contribution margin in a range of negative 13% to negative 16% for adjusted EBITDA loss margin for the year.  I'll now turn the call over to our Chief Operating Officer, Matthew Neagle to provide an update on our key performance indicators for Q1 2021. 
Matthew Neagle : Thanks, Marty. And hello, everyone. I’ll jump in with our public KPIs and commentary. First so, a quick comment on this slide and how we are managing the business. As you can see, we have made substantial improvements in our contribution margin and also our adjusted EBITDA margins over time. In fact, we're already approaching our long-term contribution margin targets, which includes all variable expenses.  This means that we are clear in our ability to consistently progress toward our long-term adjusted EBITDA margin target, primarily by managing our fixed expenses to the right level each year in particular R&D, which is substantial today.  As we have previously discussed, each year we will manage our business to a specific adjusted EBITDA percentage target. So as to - so as revenue continues to perform ahead of guidance, we will use a portion of the increased revenue to fund further key investments in sales and marketing and R&D to drive continued growth.  We plan to manage two and not ahead of our adjusted EBITDA loss margin targets given the investments in front of us are sufficiently attractive, given our massive TAM and given our ambition to build a very large business.  With that, let's go to the next slide and you can see progress in our KPIs. If you look here, our KPIs this quarter were very strong. Beginning with companies, on the left, we saw strong growth in the average number of companies in the quarter to more than 17,000, which is up 63% year-over-year and also on the right, strong growth in the average revenue per company to $999.70 per month, which I'll call a $1,000, which is up 80% year-over-year.  We continue to generate more revenue per company in a number of ways. We sell in more B2B SaaS modules. We help these companies to grow. We get access to more transaction volume. We help consumers with more services and we roll out our insurance offering to more states where we generate more revenue per sale.  Certainly, what we are doing within our InsurTech division has a meaningful impact here. Should we add additional high-value services for homebuyers, it will only continue to make our software customers more valuable. Of the approximately 17,000 companies we provide software and services to, 1,099 are from our Q2 Rynoh acquisition.  Other than this, the number of companies are growing due to strong software sales. Home inspectors continuing to come back online after pausing their business during the pandemic and continued success outside of the home inspection industry. We believe growth in new companies will continue to look good, but, given the one-time pandemic bounce back we felt in Q1 in Q2, we do not expect this metric to continue to grow at this rate.  Let’s go to the next slide, Slide 14. We continue to see strong growth across all types of monetized services. This quarter, we crossed 300,000 monetized services for the quarter in Q2, which represents 66% year-over-year growth, and we saw $129 per monetized service, a 50% increase year-over-year.  Importantly, the growth in monetized services is coming from key services we are focused on, such as insurance, which result in higher revenue per service. We are seeing higher conversion rates as we lead with our own insurance offering, which we think bodes well for the future. So as we expand our insurance offerings into more states, as well as introduce other high-value services such as perhaps home warranty or solar, we expect the average revenue per monetized service to continue to increase over time.  With that, I'll hand it back over to Matt to discuss our deep dives for the quarter. 
Matthew Ehrlichman : Thanks, Matthew. Thanks, Marty. We'll update first on our insurance business, and then we'll wrap with M&A. So, I'd like to introduce Adam Kornick, who's is the President of our InsurTech division, leading all aspects of our insurance and agency business. Adam? 
Adam Kornick : Thanks, Matt. Very nice joining today. I worked for a decade at Progressive in a variety of leadership roles, and then as Chief Analytics Officer at Aviva and more recently, the Chief Data Technologist at Allstate leading teams focus on data analytics.  So, turning to Slide 16, I should visit our insurance business and strategy. As you know, Porch has low cost and early access to homebuyers, as well as unique property data through our vertical software systems. We leverage this to build what is a fast growing where we believe will be of massive full stack InsurTech business.  When we sell a policy to a homeowner, we currently see approximately 90% of the policy premium for third-party reinsurers and then, we're paid a commission that is recognized over the following twelve month period in the states, we don't yet operate our in-house carrier MGA, we sell only third-party carrier policies through our agency and get paid a lower commission.  Overall, we hold about 10% of the premium in expected risk which means our system is capital light and with lower volatility within expected risk levels. There was a small amount of premium doable, we have excess of loss or XOL reinsurance to limit expected losses. Within our large weather events our retention limits around $2 million in most geographies before reinsurance provides coverage.  This means that even in a period with worse than typical catastrophe on weather or a large event like Storm Uri hit us in Q1 before our HOA acquisition. Our overall results are less impacted when we remain in a more favorable financial position.  While, we may increase somewhat on our premium hold at the time and its increased profits. We will continue to operate in the same general structure, capital light and high margin revenue, that sits on top of our vertical software platform.  Insurance continues to be the core services we lead with on top of our software platform. Our InsurTech division has shown strong growth, and now we're guiding to $300 million of gross premium for the 2021 year, up from the $275 million guidance from last quarter. We continue to expand the rent house insurance offering into some newer states, launched in Illinois, recently receiving regulatory approval for both Utah and Tennessee meaning that these states will launch shortly.  We remain on track to launch 10 to 15 incremental states within one year of the HOA acquisition. We only report gross loss ratio for the full prior year given that insurance there is variation by quarter. I will note that our actuary will engage science teams are performing very well and we're seeing strong performance in our non-CAT losses.  Listing improved even further as a we layer in our proprietary data over time, which is a substantial opportunity for us. As Marty had mentioned earlier, in Q2, we incurred about $4 million more in cost of revenue expense than will be expected in a historically typical season. After high catastrophe years, there should be the expectation of rates across both reinsurers and carriers to increase.  When we have already filed rate increases based on events such as Storm Uri to ensure that returns for reinsurance partners and Porch are both appropriate. That consumers can be well serviced into the future and to ensure profit overall for our shareholders. Matt?
Matthew Ehrlichman : Thank you, Adam. Okay. So let's discuss M&A. So, as I mentioned, we are excited to profile a small, but strategic acquisition that we closed in mid Q2, which is Rynoh. Rynoh is a leading provider of patented SaaS solutions for title companies and other settlement agents. It's located in Virginia. Their applications will protect real estate closing by providing continuous end-to-end account auditing, daily reconciliation, transaction monitoring, fraud detection and reporting.  The title and escrow companies can easily add Rynoh software to their closing process, it's an open solution. It integrates with 20 different closing software platforms. All the details of a closing transaction flows through the Rynoh software, which then validates fund flows correctly through integrations with banks.  This means that Rynoh has visibility into a mortgage company and the rate the consumer spend. It has visibility into the homeowners insurance company selected and the amount the consumers is paying for their premium. And it has visibility to the warranty company and all the other disbursements that are made. It's certainly very valuable insight for our InsurTech division.  Since inception, Rynoh has monitored - gets us over 16.5 million transactions worth more than $5 trillion. During Q1 2021, as I mentioned before, more than 30% of all U.S. residential purchases and 30% of U.S. home refinance were protected by Rynoh technology. This is another strategic acquisition for Porch that demonstrates our ability to execute M&A in the home services software space.  Similar to what we've done in the inspection industry with ISN, Porch now immediately becomes the leader in providing software to title companies.  Highlighted meet homebuyers at a very similar time to home inspectors, expanding on Porch’s early and low cost access strategy. We'll partner with these title companies to help them grow and create a better moving experience for their customers. For example, by helping a set of insurance for their new home.  As the title company becomes more valuable, we can then invest more into R&D and into sales and marketing to grow faster.  In terms of the details, we acquired Rynoh for $31.5 million in cash at closing and $3.5 million in cash due in April of 2023. We expect Rynoh to generate $8 million in revenue for the full year 2021 with $4 million of that occurring to Porch’s 2021 year post close. As Marty mentioned, Rynoh contributed $1.3 million to Porch’s revenue in Q2.  We expect to operate the Rynoh business at approximately breakeven over the next couple of years as we invest in expanding the products we provide at title companies in scaling sales and marketing to expand the customer base. The gross margins and contribution margin profile of the business is very similar to Porch’s. So we are thrilled to welcome the Rynoh team to the Porch group.  As I wrap the M&A deep dive, I will say that M&A remains an important of our strategy and then our pipeline remains strong.  So to recap, folks, we had an excellent second quarter. We delivered strong financial performance. We raised our full year revenue outlook. We acquired Rynoh to expand into providing software for title companies and demonstrated strong growth across our KPIs.  We just recently added to our Board and governance, both Javier Saade as Lead Independent Director and now welcoming Rachel Lam and Maurice Tulloch as two new independent directors who provide experience with M &A and insurance. We are very excited about the remainder of the year and 2022, as well as our future growth potential.  We have a predictable business with deep competitive modes and lots of levers to drive growth in this massive market we're going after.  So, that's the management team. We will now take your questions. Walter, can you please open up the line for Q&A? 
A - Walter Ruddy: Thank you, Matt. We have approximately thirty minutes for questions. We'll start by taking questions from Porch’s sellside analysts. Our first question comes from Jason Helfstein from Oppenheimer. 
Jason Helfstein : Can you hear me? 
Matthew Ehrlichman: Hey, Jason. How are you?
Jason Helfstein : Here we go. I was added at the time, that’s okay. Surprised visit. Three – two, I guess, two questions to start. Just, of the $6 million upside, where did it come from, just maybe generally insurance, inspections and moves and or post-move services? And then you’ve called out the $4 million higher comps because the CAT in second quarter, are you going to do that each quarter, so we can kind of make that adjustment because, period to CAT not cat?  And then, with Rynoh – so to be clear, you're not actually providing title insurance. You are - it's software to help the title agent. Right? So maybe kind of - so it's actually less similar to the insurance business, right? And more like inspections and moves software. So that's like kind of three question, I guess. 
Matthew Ehrlichman: Yes. Yes. No, no, great. Great questions. Maybe I'll start with that last one, provide some color and Marty layer in on top if there is anything you want to add on those first two. But, yes, Jason, Rynoh is - think about very much like ISN or one of our other software systems where we sell software to title companies now, just like we sell software of home inspection companies. So not similar to our insurance business.  We're not talking about title insurance. It's just another vertical that we are now deeply penetrated in to be able to help these businesses grow. And then, through those businesses, we can be able to help their consumers have a better moving experience.  Quickly on the first two and then, again, Marty anything you can add, but the beat came from a few areas. Obviously, we noted that Rynoh contributed to $1.3 million into the Q2 quarter. And so outside of that, obviously, insurance is growing quickly. You can see that show up in our gross written premium guide increasing that to $300 million guide. That certainly is a big driver.  I would also say you can kind of see it show up in that first KPI side, that Matthew talked through, which is, we're seeing the number of companies we provide software to grow really nicely. And then, both from insurance and services revenue, but also just by selling in more B2B software modules into these companies like we're just seeing the B2B SaaS revenue, grow nicely.  And last question was just around CAT losses when we break it out, we do not plan on specifically breaking unless like Q2, there is something that’s more unusual, more atypical. Q2 is a bit atypical and I will note that even though it was atypical that's I think is a attractive thing about the system and the design of the insurance system that we operate, where it really wasn't that big of an impact.  Overall, again those are very for the industry, very atypical, Q2. So, when occasionally, there are some kind of strange weather performance in Q2, I would expect this to call it out as we go, but not on our typical quarter. 
Jason Helfstein : Yes. Thanks. 
Walter Ruddy: Thank you. The next question comes from John Campbell from Stephens.. 
John Campbell : Hey guys. Good afternoon. How are you doing? 
Matthew Ehrlichman: Good to see you. 
John Campbell : Yes. Good to see you. Congrats on the continued M&A. You guys are making some – it appears to be pretty smart tuck-in deals. But on Rynoh, I think, Marty you hit on this. This was definitely missing the press least, but Rynoh was expected to do, I guess, from a standalone basis $8 million this year and just $4 million contributed you guys just from a sub-year. Is that right? 
Marty Heimbigner : That's correct. It's $8 million for the full year and then $4 million that will fall into our year from the date of the acquisition. And also pointed out that Q2 was their seasonally strongest quarter. So that can help you figure out Q3 and Q4. 
John Campbell : Okay. And that's all going into post-move? 
Matthew Ehrlichman: So, Rynoh is a software company. It provides, B2B subscription revenue. So it goes into B2B software line.
John Campbell : Okay. Got it. That's helpful. And then, on the KPIs, really good results there. The average companies serve that was - you guys saw a really good pop there. I think Matthew, you mentioned maybe a little over a 1,000 companies, but that metric is I think it's an average right of the start of the quarter, end of the quarter.  So I'm guessing you guys probably exited the quarter at a pretty good jumping off point for 3Q. Am I thinking about that right, and I don't know if you can, but maybe provide what it was at the end of the quarter? 
Matthew Neagle: Yes, we don't share what it was at the end of the quarter. We did see a strong acceleration in the number of companies remain excited about the growth there. And a lot of this we're starting to invest in sales and marketing. Obviously, Rynoh helped. We saw a lot of companies kind of comeback full strength over the last couple of quarters. So we do feel like Q1 and Q2 has higher growth than what we expect to trend. But we do expect good ongoing growth, just not at the rate we saw in Q1 and Q2. 
John Campbell : Okay. And I think you might have hit on this a second ago Matt, but the $325 million lift on the gross written premiums, is there a way to flush out kind of what - how much of that is HOA versus the legacy? 
Matthew Ehrlichman: Yes. In terms of our kind of full stack, carrier/ MGA versus our agency, we don't break it out between how much is agency and tender agency versus HOA. Obviously, those are, at this point, very connected entities in terms of how the gross written premium is the sold now it flows through. As we don't split it out, I will say that both are growing really nicely.  So, certainly our agency-driven sales are growing very nicely. Obviously, as you can see in the overall results HOA, as we expected, we're able to plug it into our system and just grow at a much faster rate. So, yes, we feel good about the overall performance of that group. 
John Campbell : Good stuff. Thanks guys. 
Matthew Ehrlichman: Thanks, John. 
Walter Ruddy: Thank you. The next question comes from Jason Kreyer from Craig-Hallum. 
Jason Kreyer : Hi. Thank you. Two for me. Sticking with the Rynoh topic. So, just wondering if you can disclose how much of an overlap there is between Rynoh and the existing, kind of footprint that you're seeing right now with ISM? And then, is there any way to kind of quantify, you've talked about ISM touching about 30% of all transactions today. If you pulled in Rynoh, how much does that increase it? 
Matthew Ehrlichman: Yes. It's a great question. So, given the given the reach that both the ISM platform has and the Rynoh platform has, certainly, you can just, apply those two and kind of get a good sense for the estimate. We're not going to break out like, here the number of consumers we're now reaching overall. And certainly, it's a reason deal.  So there is still work for our team to do to be able to make sure that that data gets fully integrated. But you can do some pretty easy back in napkin map and get a sense to what - what the ballpark overlap will be there. I will say, the reach, we are not breaking out specifically, but the reach that Porch has on homebuyers, is really exciting and unique.  This acquisition just plays so squarely to our strategy of embedding ourselves in companies that is going to unique moments where they meet homeowners at the right time, like I mentioned before, title companies is very similar moment to inspection companies, very early on in the home buying journey. And so, now we have a whole new vertical that we got to go and expand into and sell into and sell software into.  So, lots of room to run, now in the title space and the overall metrics are pretty unique, very unique I would say in terms of the access we have with the homebuyers. 
Jason Kreyer : Got it. In terms of the integration timeframe, how long does it take to integrate this into operations? At what point do think you can start to leverage these data sets and utilize the Rynoh data that you talked about and it kind of becomes smarter about your business operations? 
Matthew Ehrlichman: Yes. Let me take a crack and then Adam if there is anything you want to layer, just in terms of timing with the data platform broadly and how it impacts your business feel free to layer in. But - and the team is already off and running, Jason, in terms of being able to start working with the Rynoh team as we do with, you software systems across other industries.  As we mentioned before, one of the big investment areas, there is a number of these big R&D bets that we're making, But one of those, is with our data platform to be able to break down structure this large proprietary dataset around properties.  So that it can then be used across our business in a variety of ways, one of which is to help Adam in this business be able to assess risk, be able to price most effectively for the consumer. Just like that work we're doing with property data, it is not a short-term situation where it can impact 2021 certainly.  This is a good year plus of work to be able to get that data built into our data platform and then start to be able to see that, make a big a meaningful impact on our insurance or other parts of our business. 
Adam Kornick: And so, I guess, I would just add Matt, well around the topic of the data platform. They really helps the insurance businesses in a couple of important ways. So the number one factor for consumers in the U.S. is price, And so, we can lower our price because of a better view into people's risk and you can offer safer consumers at lower price.  And because our CAT to acquire the consumer is lower, that just creates a significant durable growing advantage. And then, the second one, especially something like Rynoh, really having that unique data that not only helps us predict the losses, but it helps us create that effortless experience, we'll know what someone is going through and we can make it just frictionless to our consumer during their move.  And those are really the two key things I think come out of all the data that we're collecting. And I guess, with that if you're not insurance-specific, I am really excited about doing it in reassurance. So if you think about something we could do in the future like we could do home warranty or something else where we actually know what's inside the home. I think it comes straight back to that. We can price better.  We've got acquisition economics, and then we can really take the friction out. So those are some things that I talk about with data generally. 
Matthew Ehrlichman: No, it's a great call. If you know the make models here in the lot of the appliances or home warranty, that's obviously a really - a really incredible opportunity. And I mentioned before one of the datasets that comes through title companies. If you know who the consumer it chose for their home insurance company and what they paid in premium, it's not hard to imagine the type of application there in terms of how we can offer the right insurance product, at the right price to the consumers where we're going build to save money. And so, lots of stuff that's opened up through this acquisition. 
Jason Kreyer : Perfect. Thanks for the color guys. Appreciate it. 
Matthew Ehrlichman: Good to see you. 
Walter Ruddy: Thank you. The next question comes from Dan Kurnos from Benchmark.
Dan Kurnos: Hey, guys. How you doing? Just, same with Jason jumped on really we're going to the panelist. So we are going to try to get this all set up. Just a couple of things. Maybe, Matt, I know this is going to sound kind of basic at first, but we get a lot of questions, right, with guys looking at the housing market and what's going on. It'd be super helpful just to remind people just about kind of the growth trajectory of the underlying business in case of kind of the macro backdrop if we're kind of at peak. On your home inspections, I think that you saw good trajectory there, So that would be a good helpful refresher. And then on Rynoh, really interesting, nice also to kind of T's, solar and home warranty. So, I guess, we'll stay tuned there. But, just maybe, how do we think about the growth profile going forward?  Historically, you've said when you buy things, you're going to have them eventually accelerate to the growth profile of the underlying company. Is that still the case here? Or is this like a growth profile plus additive to InsurTech and V12? Or does it sort of aggregate to kind of company growth rate when you take all those factors into account? 
Matthew Ehrlichman: Yes. Thanks, Dan for the questions. In terms of the macro, I do think there is something that probably is misunderstood, which I think some people believe that some are meaningful amount of the company's growth, that we've seen may have been driven by the increase in home sales transactions. New interest rates go down, obviously, the number of home sales transactions gone up significantly.  But the reality is, as it is shifted into to that sellers market and more homebuyers buyers actually waive their home inspection. Right? So as home sale transactions went up, we actually didn't see the total volume of home inspections across the whole industry change that much. And similarly, as home sales start to slow down and homebuyers have more power, more and more of them, virtually all, typically we'll get a home inspection.  And so, for us, you can look at it as ramp up forward, ramp up of FDS, but we view it as macro as a whole and that we're just not seeing that much of an impact from the macro trends. And like Marty said, we're not seeing much of anything from COVID-19 variants or anything like that. So, the reality is, that our business, it’s just such a large market and we're so early in the game and that our business is just barely scratching the surface in terms of the opportunity continued to grow independent of macro impacts.  As you look forward in terms of growth, I mean the two things that I would point out and highlight that I think would be useful. One, we have shown this slide in the past and I would bring it up and continue to point to it, where we have that internal target $1.5 billion in revenue in that mid-term. We haven't defined in a number of years.  But we do highlight there on the left side that we expect that 30% to 35% ongoing growth rate for the business and we still feel - still feel good about that we would highlight that. The other point obviously, - again, like Marty said, we don't break out the organic growth. But we do when we layer in new acquisition highlights, as you can see here, the $54 million of this $184 million , we had layered in from the HOA V12 and Rynoh in acquisitions. And so, that's just another data point that you can use to be able to help get a sense for it. 
Dan Kurnos: Got it. Yes, There is more around Rynoh, but we'll kind of maybe touch base offline on that. Just, maybe either for you Adam, if you mind just a quick follow-up just on the guide on the gross written premium upside. How do we think about that again, since you just said you don’t breakout organic but between existing panic versus maybe geographic expansion and then possibly being able to accelerate your footprint? 
Adam Kornick: Yes. So I can answer that, Matt. So I think and we don't break it out specifically, but we see a lot of strong demand from new consumers. Renewal of existing policies and geographic expansion. So it is the main thing I say takeaways this is working, we see it showing up in our results.  And then, what we said is, we recently launched in Illinois, we've received approval in two more states. We have other regulatory filings in the pipeline and so we're on track for that 10 to 15 additional geographies or states from the first 12 months post close. So we feel good about all those things and it's showing up. 
Dan Kurnos: Awesome. Thanks guys. Appreciate it.  Okay, Dan. 
Walter Ruddy: Thank you. The next question comes from Mike Grondahl from Northland. 
Mike Grondahl : Yes. Thanks guys. Two questions. One ex Rynoh and those 1,099 companies would you say your growth in sales and your emphasis in sales had a bigger impact, than home inspectors coming back to your platform? And sort of related to that is, how many old inspection companies are still coming back to the platform or potential? 
Matthew Neagle : Yes. We know we don't break out the specific trends. I can say all of them contributed and it would be hard for me to even break it out because, we are reaching out to the entire industry. And so, it could be either coming back on because, we have that extra sales and customer success first in reaching out to them. But we also think part of it is folks coming back to the platform, just because they were optimistic about the market.  But otherwise, as we said, we do expect good ongoing growth, but we do think Q1 and Q2 will be faster than Q3. 
Mike Grondahl : Got it. And then, just secondly, any update on the moving concierge and any features you've added to that or just any tweaks you've made? 
Matthew Neagle : We continue to improve. We have really phenomenal MPS on that experience for people who use our service. You we are interested in how do we get more consumers to use it. How do we get more services per consumer. One of the things that we have talked about is consumer App. And so, the team is hard at work on our consumer App. As previously communicated, we continue to have our first consumers using the app later this year.  And then of course, one of the other improvements is, as we have acquired an integrated HOA, we're now able to lead with HOA where HOA has coverage, and of course that the coverages expansion and we have seen nice uptick in our ability to close insurance customers when we're able to lead with that integrated HOA offering. 
Mike Grondahl : Thank you. 
Walter Ruddy: Thank you. The next question comes from Ben Sherlund from Cantor. 
Ben Sherlund : Hey, guys. Thanks for taking my question. So you if we try to ballpark transactions ex HOA, you've seen some kind of nice acceleration here, if we keep revenues flat from 1Q, could you maybe help us understand what products are driving that upside? Or maybe what products you're most excited about going forward? 
Matthew Ehrlichman: Are you talking about in reference to number of services? 
Ben Sherlund : No, just in terms of monetization. 
Matthew Ehrlichman: The rep per service? 
Ben Sherlund : Yes. 
Matthew Ehrlichman: Yes. Got it. Yes. So, the first place I can take that Matt, and you can layer in if there is anything more you want to add. I would just come back to our strategy, which is a focus on high-value services that are purchased during the move. And so, as we put more and more of our energy towards that strategy, it's going to help drive up rev per service.  The improvement we saw in this quarter, insurance had a big impact on that, as we go deeper into the insurance value chain with HOA. Both kind of as HOA is brought on to the platform, but then also as we get volume going through HOA, we get more revenue per insurance sale than we used to. We are certainly seeing general improvements across our other services that we're focused on. But certainly insurance is where we're focused and is where we're seeing impact on that number. 
Ben Sherlund : Okay, great. And then, maybe a quick follow-up on the insurance post on HOA acquisition. In the states where you are active with HOA and the way insurance group, are you seeing any friction from the insurance providers on the lead insurance group in those states? 
Adam Kornick: I can take that, Ben. So, I’d say, our promise for all of our partners across Porch that we help them grow their business and provide the best customer experience that we can. And so, that's a promise we make everyone including reinsurers, carriers of our agencies. And it’s a huge industry with a massive available market.  So we think there is a lot of space to partnership with people – to partner with people and we’ve been into that partnership and showing we can deliver that value.  So that's what we're doing and that's what we're communicating and we're hearing back with that's working great. 
Ben Sherlund : Okay. Great. Thanks, guys. 
Matthew Ehrlichman: Thanks, matt. 
Walter Ruddy: Thank you. The next question comes from Ken Wong from Guggenheim. 
Ken Wong : Great. Thanks for taking my question. A couple of Rynoh questions for me. So, I think, it sounds like you guys laid out a pretty interesting strategy around extracting value from the data. I guess, as we look a couple of years out, how should we think the value of Rynoh to Porch?  Is it going to be - it's synergistic, but some of the software platforms you guys have and we could see that revenue line grow meaningfully? Or is it – or is the primary upside from this transaction largely can be from the incremental data you can extract to drive more services. 
Matthew Ehrlichman: I would think about it, Ken, exactly how we've executed our strategy in the inspection software space where there is a number of levers. I mean, certainly, we expect to add more tools and capabilities to title companies. There is lots as of things that we can provide them to help their business help them grow. And as we do those, sell in more B2B software modules. So to that question, do we expect the software revenue to grow.  Yes. Absolutely. As we both sell in more software modules to these companies, and start to be able to offer solutions for their consumers where we can also generate transactional revenue from those companies, what happens what we've seen in the past in a number of cases as those companies will become significantly more valuable than they are prior to the acquisition.  Right? And so what happens as you take - now it’s a set of yearend economics that previously were just okay, hard to scale sales and marketing all of a sudden, yearend economics are really compelling, right? Because of just the additional ways that we can generate revenue and those companies are happier. So now we get to go and invest more in R&D, we get to go invest more in sales and marketing, and you're able just grow faster and get more companies onboard.  And that all takes a little bit of time to get that five are working, but it's very clear our strategy can work there. That's part one. Part two. Clearly, it'll be a channel for us to be able to meet homebuyers. So, as we help these companies with more tools, get access to more homebuyers and it is a question previously as will it be overlap between, title and inspection? Yes, but that overlap does not mean there is zero value created.  We are getting multiple touch points to the consumer through different companies that interact with is net impactful to our business and so that that shouldn't be underestimated. That is important for us to get multiple touch points with those consumers. Because right now, we only help a subset of them with those key services and there is opportunities to continue to increase conversion rates there with those consumers.  And then lastly, yes, is the data. And so, there is obviously value that we can create to build – to understand the property better, understand the homeowner better. So we can be able to better serve them as we look forward. So, yes, just like home inspection, our mind is strategic and there is a meaningful opportunities we look ahead. 
Ken Wong : Got it. Thanks, Matt. And just a quick follow-up for Marty. So, I recognize Q2, you said the most seasonal for Rynoh, but I guess as we look at the guide, you got $4 million. If we just kind of generically chop that up in the three, it looks like you're assuming kind of flattish sequentially through the year. I guess, is that the right way to think about it or any kind of other one-time issues we should be aware of in the back half? 
Marty Heimbigner : No, I think, you're thinking about it correctly there. It’s clearly, Q2 and Q3 are heavy homebuyer moving across the country. And so, that's why Q2 was Rynoh’s heaviest quarter there. 
Matthew Neagle : The point I would just got, Ken it wasn't on the books for a full Q2. 
Marty Heimbigner : Yes. 
Matthew Neagle : You wouldn't do a straight line of the 1.3. 
Ken Wong : Thanks, guys.
Walter Ruddy: Thank you. And the next question coming from the line, can you please give an update on the cash position of the company? 
Marty Heimbigner : Certainly. 
Ken Wong : Thank you, guys. 
Marty Heimbigner : Thanks, Ken. Certainly, we have at June 30, we had $152 million in cash. We believe that positions us well to support the investments that we've talked about here today, investing in our vertical software systems, our insurance business, expansion, data platforms and the consumer experience. Those are all investments that we're currently making. We've got very little debt. So we think we're in a good position with the cash on the balance sheet. 
Walter Ruddy: Thank you. Probably I have time for about one more. And can you – and one from the line, can you please provide an update on the investments you're making in the product offerings and the consumer experience? 
Marty Heimbigner : Yes, I can take that one. I think the place I'd start is just with our contribution margins at 40% for 2021, and adjusted EBITDA in the minus 13 to minus 16, it's clear we're investing aggressively into R&D and other areas. We're doing that because we think it can lead to long-term growth. As we have stated, we will make progress against adjusted EBITDA a percentage each year.  And we are showing almost 2x improvement between 2020 and 2021. We're actually making a variety of investments. I'll briefly highlight a few. We've talked a little bit about investing about our data platform. We are investing in our data platform, because we have unique and privilege insights into both homebuyers and properties that nobody else has.  So, Matt mentioned, things like make and model number of appliances, know we can learn if there is a huge crack in the foundation an issue at the roof. The hot water system is in a bad place such as the attic.  All those things can be impactful to understanding the risk and pricing for homeowners insurance. So that we can best price for good risk and increase the rates for bad risk. And there are other applications that, Adam and Matt both mentioned throughout this call. 
Matthew Neagle : The thing I would add to is with the Rynoh acquisition, Matt mentioned this, we learned other things, such as the insurance company the consumer chooses. So, all of those things lead us to believe that we need to make a continued and long-term investment in our data platform.  The other quick one I'll highlight, which I mentioned is just the consumer App. We’re excited to get that into consumers’ hands by the end of the year. And we all invest deeply into SaaS solutions. So, functionality for companies building out new modules.  And then the last one is just we are investing in our insurance business, and that shows up in a number of ways, geographic expansion, simplifying the purchase process and the experience for our members. So, overall, there is a lots of areas where we are investing both for long-term growth and to improve the consumer experience. 
Walter Ruddy: Thanks one more from the line. When do you anticipate being EBITDA breakeven? 
Matthew Ehrlichman : I'll take that. And pull up this slide. The reality is that, it's a choice for us. We haven't set a specific year or target or anything like that, but I would want to just emphasize how we think about that choice. So clearly, with we're guiding to 40% contribution margin this year. Our contribution margin takes into account all variable expenses.  So all of our B2B software sales, all the account management teams and implementation and onboarding teams that support those companies and then all of our downstream variable expenses tied to the consumer. Our moving concierge teams, our assurance agents, any of the claim handling support teams, all of that is burdened into that contribution margin line.  So below contribution margin to, adjusted EBITDA is largely fixed expenses. So R&D and G&A primarily. And so, what that means is, clearly, if you're at 40% contribution margin, we're investing aggressively. And most of our R&D investments, a significant portion of it is not even really going to impact this year, right? A lot of it's not going impact next year even.  Some of it is a big building blocks that will allow us to go build a really big company. So, the way to think about it, you can see in our adjusted EBITDA and how we're showing this really consistent progress each year. I would expect going forward, we are not going to feel like we have to go make this huge leap in one year and start focusing on driving profits overnight.  But you should expect that we will continue to show nice progress. So that it's very clear that we're in control of the business. It’s very clear that we're just continuing to step toward that long-term target, that 25% EBITDA margin. You see it on the slide. We do feel really confident about our ability to go and generate those long-term EBITDA margins over time.  But these, again will set that constraint, which is the EBITDA margin target, and then we'll invest aggressively as we can't feel after that constraint. And that again, that's what you should expect ongoing. 
Walter Ruddy: Thank you. And I believe our final question, about HOA and the insurance group. I originally thought the MGA or HOA took a 20% to 25% retention of the business whereas you are not seem to be suggesting, you're taking 10%. Has something changed? Or am I missing something? 
Matthew Ehrlichman : No, nothing has changed. We don't break out how much of our revenue comes from insurance at this point. And so, obviously, we guide to the gross rate premium of $300 million gross written premium. And everything we've communicated previously in terms of how we then generate revenue from that gross written premium remains consistent.  A lower commission that we get paid from our agency and then a higher commission, about two x higher of the commission than we get paid when we are the carrier, but we seed that commission, that premium I should say, the third-party reinsurance companies. So, nothing has changed there. 
Marty Heimbigner : I think on Slide 16, it's highlighting that point that that you just made there, Matt, that 90% of the insurance premiums are seeded off and 10% is what HOA retains. So, it's not the commission rate that is being earned, but the magnitude of the business that we seed off versus what we retain. 
Walter Ruddy: Thank you. And that concludes the questions that we have for today. 
Matthew Ehrlichman : Well, then, let me wrap up here briefly. I just like to say, thank you all for joining the call. I do appreciate the ongoing interest in Porch and in the partnership for those that are involved. Like I said, we really are excited about just what we're seeing in terms of Q2 performance, 2021performance, and the investments that we're making to allow us to continue to go on and build a truly great enduring company.  Credit to the Porch team for a great continued performance. And with that thank you all and we'll see you soon. Take care.